Operator: Good afternoon. My name is Kathryn, and I will be your conference operator. I would like to welcome everyone to the Xilinx Q1 FY20 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions].I would now like to turn the call over to Matt Poirier. Thank you. Mr. Poirier, you may begin your conference.
Matt Poirier: Thank you Kathryn and good afternoon, everyone. With me are Victor Peng, CEO and Lorenzo Flores, CFO. We will provide a financial and business review of the June quarter and the business outlook for the September quarter.Let me remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events, or the future financial performance of the Company. We wish to caution you that such statements are predictions based on information that is currently available and that actual results may differ materially. We refer you to documents the Company files with the SEC, including our 10-Ks, 10-Qs and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements.In addition to GAAP financial measures, we will be disclosing certain supplemental non-GAAP financial measures used by management to evaluate the Company's financial results. We provide these measures to facilitate period-to-period comparability for purposes of evaluating continuing business operations by excluding the effects of non-recurring and unusual items, such as amortization of intangibles and certain one-time items related to acquisition. We believe that sharing these non-GAAP measures will be helpful for analysts and investors in analyzing the Company's ongoing core business.A reconciliation of non-GAAP financial information to the closest GAAP measure is included in our earnings release and has been posted on our Investor Relations Web site. Please note that we have also posted a document to our IR Web site that contain five quarter historical data for the new end market classification we adopted in May 2019. This conference call is open to all and is being webcast live. It can be accessed from our Xilinx Investor Relations Web site.Let me now turn the call over to Victor.
Victor Peng: Thanks, Matt, and good afternoon, everyone. I'm pleased to share our results today as they exemplify the durability and resilience of our business. We saw solid growth in our WWG, AIT, and ABC end markets, which enabled us to achieve the midpoint of our Q1 fiscal 2020 revenue guidance despite unexpected challenges. I'm proud of the tremendous effort by our employees to achieve our target despite the Huawei shipping restrictions, which occurred midway through the quarter, as well as the general uncertainty in the current global trade environment.Now let me share some highlights around our business units in core vertical markets. I'll start with WWG. Despite our complete suspension of shipment to Huawei in the middle of the quarter, we saw continued strong demand at many of our wired and wireless customers in support of global 5G deployment. We remain well positioned during this initial wave of the 5G cycle, which we continue to believe will be as a factor larger than the 4G cycle.Following the deployment in South Korea last year, we are seeing the beginning of deployments in China, albeit more measured given the Huawei action. We are actively ramping sales of products supporting radio applications in addition to base band. As we noted in our Analyst and Investor Day, we anticipate a mix shift to radios as the portion of our base band revenues converts to ASICs. We've been monitoring the market closely and to-date have not seen unusual inventory building at wireless customers, but we will of course continue to watch it very closely.Moving to DCG. Our business did not grow as expected, largely due to the suspension of shipments to Huawei for their FFAF deployment, as well as a slowdown in orders beat to a product transition at a significant memory customer, the latter of which we expect to meaningfully recover next quarter. That said, we continue to make good progress as multiple hyper scalars, both on FAAF and internal acceleration application. Our hyper scale customers have begun deploying our platforms in production for accelerating application, such as search, streaming video, as well as network acceleration with SmartNIC.Alveo continues to make progress with numerous proof of concept to our POC with end customers top tier OEM. We are anticipating revenue contribution to be meaningful later this fiscal year, as well as customers move those POCs into production. Lorenzo will be sharing additional details of our core vertical markets later in the call. So now, I'm going to turn over to other highlights in the quarter.Revenue from advanced products grew 53% year-over-year and was 69% of total sales in Q1. We saw broad base demand for our 60-nanometer UltraScale+ family, which continues to be a stronger revenue driver for our business. Last year, we introduced an extension to that family with industry leading 58 gig PAM4 SerDes. These products enable customers in the wired, TME and A&D markets to double the bandwidth of existing 25 Gig systems without deploying new infrastructure. Our new Vertex UltraScale+ 580 Gig devices will be shipping in production soon.In addition, based on our strong customer demand, we extended our Vertex UltraScale+ high bandwidth memory or HBM family by adding 16 gigabyte HBM capacity to that sale. These high capacity HBM products are ideally suited for workloads that process larger datasets, such as adaptable AI Inference, database acceleration, data analytic, video transcoding and security processing. The 4 gigabyte and 8 gigabyte products are already in production, and we're sampling the 16 gigabyte products today. The 16 gigabyte products will go into production later this year.Demand for our Zynq platform remains strong, driven by the adoption of our MPSoC family in wireless, and across our core vertical markets. Revenue from our Zynq family grew 68% year-over-year, which represented approximately 23% of total revenue in Q1. In fact, cumulative revenue from our 28-nanometer Zynq product has crossed the $1 billion mark. We see our 16-nanometer Zynq products growing at even faster pace.In terms of our progress in Q1 with our adaptive computing strategy, we started sampling first 7-nanometer Versal AI Core and Versal Prime Series products with select customers. We will be expanding our early access customer engagement throughout this quarter Q2. Our Versal silicon testing to-date in indicates that we're solidly on track to deliver 10x increase in performance, and significant power efficiency gains for a number of applications compared to the latest generation FPGAs and general-purpose processors. We will be showcasing our Versal platform in a new unified software development environment that will greatly enhance the user experience at our XDF this October. I hope to see many of you there.Now shifting to M&A activity. We announced the acquisition of NGCodec that adds a differentiated video compression software to our portfolio to support our data centers. This product has already gained traction with key cloud customers, including Twitch and Alibaba. Video acceleration will be one of the key growth drivers for the DCG users.We are also on track to close the acquisition of Solarflare in Q2. Recall that this acquisition brings a new class of SmartNIC to hyperscalers, [HDC], enterprise and telco networking customers. These new SmartNICs will eliminate network bandwidth bottlenecks, free up D2 cycles, enable network and data centric [Technical Difficulty], as well as customizations to unique customer needs.Now, before I hand off to Loranzo for a detailed view of our Q1 financials and our Q2, I want to provide some additional comments related to Huawei. Xilinx is committed to ensuring full compliance with all U.S. export control regulations. As such, upon the Commerce Department's addition of Huawei, and its non-U.S. affiliates to the Bureau of Industry and Securities entity was in mid-May, Xilinx immediately suspended shipment of all products to Huawei. Then after review of the export administration regulations and entities list restrictions, we determined that we can lawfully resume shipping select products. We've recently begun fulfilling orders from Huawei during our current quarter. These products are mostly 28-nanometer or older products, and are not designed into 5G applications.We have also submitted request to the Commerce Department for licenses to sell additional products to Huawei. Xilinx will continue to comply with all government and legal requirements across our global operations. I want to emphasize that we cannot predict whether additional government actions may further impact our ability to ship Huawei as the situation remains dynamic. We hope a resolution of these issues that led to U.S. and China trade actions is reached as quickly as possible, so market driven trade can resume.In conclusion, we are focused on executing to our strategy and remain very confident in our significant and unique long-term growth opportunities, driven by 5G, data center and automotive disruptions, and our transformation to platforms. Thank you. And now turn it over to Lorenzo.
Lorenzo Flores: Thank you, Victor. Overall, our business performed quite well this quarter even with the challenges Victor just described. Total revenue was in line with guidance at $850 million, up 24% year-over-year and 3% sequentially. Our results are a testament of the resilience of our revenue base from our broad set of end markets and diverse customer set.The continued 5G build out drove the growth in wired and wireless group with revenue expanding 66% year-over-year and 2% quarter-over-quarter. Quarter-to-quarter, wireless declined slightly and wired grew. Our broad customer base drove this growth in the quarter, although, less than expected due to the Huawei shipping restrictions. Revenue from the data center group was below our guidance, declining 13% year-over-year and 4% quarter-over-quarter. We showed growth in multiple hyperscalars and broader accounts, but the Huawei ban did have an effect on DCG. In addition, one of our memory related customers is going through a product transition, and had an inventory related slowdown.In AIT, all in-markets outperform expectations with strength in industrial and less than anticipated decline in aerospace and defense and TME. AIT grew 10% year-over-year and 2% quarter-on-quarter. In the quarter, A&D industrial and TME were broadly strong and we had a modest amount of accelerated orders by some industrial customers. In ABC, we continue our long term growth trend with 10% year-over-year growth. Quarter-to-quarter, we grew 8%, though we were weaker than expected in auto. The other decline was due primarily to slower auto sales in China, stemming from trade related factors. Broadcasting consumers were stronger than expected in the quarter.Gross margin gross margin was in line with guidance with GAAP margin of 66.2% and non-GAAP gross margin 66.6%. The difference between GAAP and non-GAAP is due to M&A related amortization. Operating expense with GAAP OpEx at $312 million and non-GAAP at $306 million was slightly lower than our guidance. GAAP operating income was $251 million, or 29.5% operating margin. Non-GAAP operating income was $260 million, or 30.6% operating margins, better than expected as gross margin was slightly higher and operating expense was slightly lower.Our GAAP to non-GAAP tax rates were approximately 8%. One detailed note here. Some of you may be aware of the altercation related to the tax impact of share based expenses and cost sharing agreement. We have not recognized any impact on our tax rate from the recent Ninth Circuit Court decision as we view this matter as unsettled. Please refer to our 10-Q for more disclosure.GAAP net income was $241 million and diluted earnings per share at $0.94. GAAP EPS grew 27% year-over-year. Non-GAAP net income was $249 million, yielding a record non-GAAP diluted EPS of $97 a share, a 29% growth over last year. Diluted share count decreased slightly to $258 million shares.Next, I'll cover a few points on the balance sheet and cash flow. Gross cash was $2.9 billion with $1.2 billion in long term debt. Accounts receivable declined to $306 million and is at 33 days. Inventory increased $21 million to $337 million as we build for future demand, particularly in 16-nanometer.Overall, we generated $298 million in operating cash flow. We continue to implement our capital allocation strategy as discussed during our Analyst and Investor Day. We made multiple investments in our ecosystem and continued our strategic M&A activities. During the quarter, we also repurchased approximately 3 million shares at an average price of $105.50 per share and paid dividends of $94 million.Now onto our guidance for the second quarter of FY 2020. We expect our revenue to be between $800 million and $850 million. The midpoint and wider than usual guidance range reflect a full quarter impact from the shipping restrictions for Huawei, other current trade related uncertainty and our usual business variability. More specifically, our guidance range includes an estimate of revenue from the resumption of shipments of currently permissible products to Huawei and contribution from other products that are pending government approvals for shipping license. On Huawei, while we aren't quantifying their revenue contribution our expectation for Huawei this year have been reduced by more than half.Building on that point, our outlook for the WWG business is for a slight decline. Wired is expected to decline and wireless is expected to grow slightly. Again, we do anticipate a headwind from the Huawei situation, but we expect strength across our broad customer base provide some offsets. Data center is expected to rebound strongly. Our backlog is healthy and indicate significant growth that's coming from our advanced memory architecture related business. We are expecting growth from the expansion of business at other hyperscalars as well.Finally, we expect some growth from crypto, although, that business remains volatile and relatively small. For AIT, we expect the business to decline in Q2. This is primarily a result of an anticipated pause in a customer specific program, driving a decline in TME. Industrial is expected to be negatively impacted by order timing and macro issues. A&D is expected to grow, providing a partial offset. Our ABC business is expected to grow in Q2. We forecast growth in auto and broadcast and we expect consumer to remain steady.To recap, we are guiding our Q2 modestly downward, mainly due to the shipping restrictions on Huawei. That said, we believe that outside of the trade related issues, our revenue outlook continues to demonstrate the breadth and resilience of our business model. Gross margin is expected to be between 65% and 66% on a GAAP basis, and 66% and 67% on a non-GAAP basis. Non-GAAP gross margin is essentially flat from Q1 as expected. The decline in GAAP gross margin is due primarily to incremental acquisition related amortization expenses.As we discussed at our Analyst Day, GAAP operating expense will grow in Q2, and is expected to be $326 million. The increase is primarily due to increases employee compensation and acquisition driven expenses. The growth in compensation reflects our annual focal process, including stock grant and organic and inorganic growth to our employee base. Non-GAAP operating expense will be approximately $322 million.While we expect Solarflare to close this quarter, precise timing of the close is uncertain. Therefore, we have not included revenue or expense estimates in our outlook for Q2. Depending on the timing of the close, additional non-GAAP OpEx could be between $10 million to $15 million for the quarter as we onboard Solarflare employees. We also expect to have incremental revenue of mid to high single digit millions in the quarter. This revenue would be slightly higher than corporate gross margin.GAAP and non-GAAP other income is expected to be approximately $11 million. Our tax rate is expected to be approximately 0% for Q2. This low rate is a one quarter phenomenon due to the tax accounting rules for share-based compensation. We expect the quarterly tax rate to normalize in the second half of the year to a range between 7% and 10%. We expect share count to decrease slightly in Q2, which is the net result of our share repurchases, offsetting our annual stock grants.As I close, Victor and I realized there will be a great interest in our outlook beyond Q2. At this point in time, we are monitoring the China trade situation and the overall economic environment. Given the uncertainty regarding these important factors, we are not reiterating or updating our full year guidance today. We expect to provide an update on our fiscal '20 outlook at our October earnings call. Overall, we believe our long-term growth drivers remain very much intact. Although, our FY20 revenue expectations have been somewhat moderated by trade related concerns, we continue to believe that the second half of our fiscal year will be better than our first half.Let me now turn the call back to the operator for Q&A.
Operator: The floor is now open for questions [Operator Instructions]. Your first question comes from Vivek Arya with Bank of America.
Vivek Arya: Thank you for taking my question. Victor, since Huawei is of so much importance to investors. I was really hoping if you could give some rough sense of how large it was as a customer in your last fiscal year. I realized that it's not 10%, so you have not disclosed that. But any rough sense would be really helpful. And then how much of a headwind was it in June and how you are thinking about it in the September quarter, just because it's such a large variable in thinking about the business in the near-term? Thank you.
Victor Peng: Well, look, Huawei is a very important customer to us. But as you said, we had no 10% customer in FY19 nor in first quarter of FY20. Huawei is important. That said, we are able to hit the midpoint of our guidance, because we were able to perhaps a quarter. But as I said, the resilience of the business in all the other markets being very strong, particularly AIT also seeing some more strength in some of the other wireless as well as the wired growth. As we expected and just plain, a lot of hard work we were managed to offset that. I think you should think the way the fact at our Analyst Day we have said that Q2 would be flattish to Q1, and now we're guiding slightly down from thatslightly down from that shows that clearly there is impact despite the fact that we were able to hit the mid range. And just in terms of, the general size, I mean, clearly as Lorenzo said, this range that we gave for Q2 shows that our current expectation is well less than half than what we thought of begin with. So the way you should think about this is kind of the exposures of volatility around this is greatly reduced now because of how we're thinking about the business.
Operator: Your next question comes from the line of Joe Moore with Morgan Stanley.
Joe Moore: I'm wondering if you -- obviously, there's variability in the second half of the year, that's pretty clear. How are you thinking about OpEx in that context? Could you see OpEx come down if the revenue expectations come down, or just what's the flexibility around that?
Victor Peng: I think if you take a step back and say, other than this trade situation, our main thesis of everything we said during the Investor and Analyst Day remains intact. That's what Lorenzo's close with. The fact that we have really still strong growth drivers in 5G, I guess, Huawei is an impact but rest of 5G still there, data center, automotive and long term and built on top of all the multiple diverse markets that we have and so forth. So I think when we think about it, we said -- and we are investing in order to stay in mid-teens growth for the next five years. Nothing really in the near term says that we should get off of that strategy and the investment thesis. So we are still essentially moving forward with our investments but of course we're monitoring situation very carefully.
Operator: Your Next question comes from the line of CJ Muse with Evercore.
CJ Muse: I guess a gross margin question. Revenues guided modestly lower, but gross margin also lower. And I think we all thought that wireless, particularly Huawei in the mix was the headwind. And therefore, if that's getting pulled out, why our gross margins at the midpoint guided lower? And then what gives confidence that you can get back to that 69% territory in the second half of the fiscal year?
Lorenzo Flores: So CJ, couple of points. First in this case, I would say you should look at the non-GAAP gross margin guide more relevant to the question you asked. And what I should have said if I didn't say it, I'll clarify is that non-GAAP gross margin is basically flat quarter-over-quarter. How that it becomes about due to the mix is we also said that the wireless part of our business is going to grow albeit slightly. And significantly, I also said that in AIT, we should see a decline, which has generally benefited gross margin. So the result is a mix of those factors. Does that help?
Victor Peng: Can I also just add that, it isn't that Huawei is being a little more large [indiscernible], it's the wireless sector as a whole. And so while wireless is down a bit, it's still pretty meaningful part. So I think we really -- I think that's the way to think of it, it isn’t just the Huawei issue, we still have very meaningful wireless business and then the other part that Lorenzo said about the other segments.A - Lorenzo FloresSo just in case I wasn't clear. When I gave my prepared remarks from Q1 to Q2 wireless business, despite Huawei shipping restrictions, is going to increase slightly.
Operator: Your next question comes from the line of Ambrish Srivastava, BMO.
Ambrish Srivastava: I just wanted to get back to datacenter. This is such a big underpinning of the -- one of the big underpinnings of the investment case for Xilinx. Could you just provide us with a rough breakdown of -- and you have given numbers now for the last three years plus the additional quarters. What is the makeup of the business, Victor, if you think about the old traditional workhorse for Xilinx, which was storage servers, as well as automation versus the new businesses that you're winning? And then in your full year guide that you were not able to reiterate, which I clearly understand given the uncertainties? But do you expect datacenter, because this was supposed to be the biggest growth driver, I think up 55% to 65% at the Analyst Day. Are you willing to stick to that, or even that's off the table for now? Thank you.
Victor Peng: So Lorenzo is going to give you some clarity on the first detailed part about traditional versus new. What I would say is following, again as I -- Huawei, actually we tend to think of that as wireless business, but their cloud business is a significant business. And everybody is aware that they had been in production with FAF. So as we said one of the big hits for the quarter was we weren't able to ship some additional deployments, they were going to do an FAF. The second, as Lorenzo expressed, was a transition on a significant memory business. And again, both of those businesses are the new good interesting businesses, as opposed to traditional, not really acceleration in storage kind of business.To your broader question around, this is going to be one of our big growth drivers. Yes, so we can do one on a percentage basis, you're right. On an apples to basis, obviously, since it's still small. I guess what I would say is that, I just want to say that it wasn't the only thing that was going to drive our business, of course. And look, we're still -- see our opportunity is very, very big. We're going after that aggressively. We're not re-guiding the year again but we're sticking to our -- to see if we can get an opportunity and growth there. So again, stay tuned to Q2.And then we -- and one other thing is you didn't actually explicitly asked this. But we're confident that we're going to bounce back in Q2 with strong double-digits, because we see the backlog. We've already factored in that we can't ship to Huawei. So that downside that we couldn't have predicted is in there, and we see the solid backlog. So Lorenzo, do you have the approximate between new and…
Lorenzo Flores: No, I actually -- Ambrish, I don't want to make that cut up on the fly. I don't have it handy. But what I can tell you, if this helps is, the core data center business growth that Victor alluded to, as we go from Q1 to Q2, is almost entirely the new business, if you will. And we can get back to you on the historical stuff. Sorry about that.
Ambrish Srivastava: No worries. Thank you very much.
Operator: Your next question comes from the line of Blayne Curtis with Barclays.
Blayne Curtis: Hey, guys, thanks for taking my question. Maybe two related we'll see, just on the wireless side. We did guided backup. You're back close to peak levels in that without, I guess, some portion of Huawei. So I'm just kind of curious if you could comment on some of the strength? And then I know geographic breakdown of revenue is never a great way to look at, but Asia was up big. I was wondering if you could comment on that as well.
Victor Peng: I mean, again just qualitatively, I think this speaks to the overall strength of 5G, which again that isn't -- our thesis hasn't changed there. Obviously, Huawei is important for us it's not like we had no impact. But just speaking to the strength of the 5G deployment is really happening. Korea started last year but that's not -- and so that's over. And I think I'll remind everybody that Huawei is a key customer as the ZTE. And we continue to ship to ZTE and as well as all the other ones that we ship to, all the big players in wireless. So I think that's really what you're seeing and…
Lorenzo Flores: I think that aligns with the Asia growth story as primary driver. And we did see maybe significantly less important in overall impact. We did see some strength in industrial end markets in Asia.
Operator: Your next question comes from the line of John Pitzer with Credit Suisse.
John Pitzer: Victor, just relative to the September guide for wireless to be up slightly, I understand the headwind coming from Huawei. I'm just kind of curious if that up factors in base band ASIC displacement with radio growth? Or is the ASIC displacement more something we see as a headwind in the second half of the fiscal year? And as that becomes a bigger headwind, how should we think about your ability to grow the business sequentially?
Victor Peng: As far as the ASIC displacement, as I said in my opening remarks, so being inside a little bit more is that, that's factored in and we shared what we though what we would do at the Analyst and Investor Day. So we are planning on the fact that we will see some displacement. I would say that it's not that we've seen that to-date but we are still no change in terms of when we think that's going to pass, let's put it that way. And so that also means that, as Lorenzo said, we still do feel that the second half will be stronger than the first half, but we will give you the detail after the close of this quarter. Again, that factors in any ASIC displacement.
Operator: Your next question comes from the line of Ross Seymore with Deutsche Bank.
Ross Seymore: Let me ask a question, I want to go to the AIT segment. You gave a little bit of color why that was better than expected. But I wanted to see two parts on that. Was there an inventory dynamic, or there was some inventory build that was benefiting that in the June quarter? In the September quarter guide, it seems like if I put all the moving parts in right that it has to fall off pretty substantially on a sequential basis. So I just want to see if there was a little more color about what's happening in the September guide for that segment?
Lorenzo Flores: So, let me start with relative to the smaller piece of history. There was some inventory build in the strength in industrial in Q1, very low double-digit million, if you will. In the Q2 guide, even as we went into this fiscal year and incorporated in what we've said at Analyst Day, we were aware of a significant customer whose program timing would cause a pause in this quarter in their revenue. So, that's factored in and is a significant decline in the TME part of the business specifically.
Ross Seymore: Is that something that will bounce back in the next quarter?
Lorenzo Flores: We expect it to bounce back in the second half of the year.
Operator: Your next question comes from the line of William Stein with SunTrust.
William Stein: Great, thank you for taking my question. I'm hoping to dig into the 5G dynamics a little bit. The ways that you're describing this market, it almost sounds like, well, if our customers can't buy from Huawei, there's a bunch of other vendors and they can buy from them and we're shipping there. And so, it's almost as though their ability to switch is rather easy. And I'm surprised to hear that and maybe I'm misinterpreting it. But maybe can you comment as to the performance and demand trends at your customers, and what your customers' customers or carriers are telling you about their ability to adjust in that regard? Thank you.
Victor Peng: So, no, I do not think at all that we were trying to convey that, and we don't believe that. But it's not like they can just swap. But I think, maybe a better way to think about is the initial -- remember, we're in the early phases of 5G. We're just in the initial phases of the first -- the initial deployments in the first phase and we see multiple phases. I think what we're seeing is in China for the very first phase is not that much change. And as you know, the big players are Huawei and ZTE, then other vendors get some portion of the market, but it's relatively modest. There's really no change to that qualitative thing.And the other points outside China, of course, are not affected, everybody's rolling through that. We aren't saying that we have great visibility in what's going to happen to later deployments in China. Obviously, we can't, because you don't know what's going to happen with trade situation and so forth. And to your point, it's not just like thinking just everything can just swap. So yes, no, we didn't mean to imply that and we don't subscribe to that perspective.
William Stein: Perhaps I misunderstood, if I can squeeze a follow up in. There has been a lot of speculation that Huawei might have built as much inventory as they could. We've heard speculations up to two years, which seems impossible to me. Do you have any perspective on Huawei's potential build of more products?
Victor Peng: I mean, we had that question multiple times at the Analyst Day. And we reiterated, we absolutely do not do that, absolutely not. We do not see that. And just so you know why we're so adamant from our perspective, I can't speak to anyone else's part, because to do the 5G, you need our most advanced parts. And we know exactly what there's going we can't buy that through other sources. So we're very confident about -- there is no any even near that inventory build rates.
Operator: Your next question comes from the line of Tristan Gerra with Baird.
Tristan Gerra: Looking at the potential displacement of your FPGAs in base band against ASIC. How should we look at the trajectory of your average content per base station in terms of magnitude a year from now? Are we looking at maybe a 50% cut on average to a large China customer? Any quantification you could give us.
Victor Peng: I think in our Analyst and Investor Day, we walked through that as best we can. So I don't want to attempt to try and go through that again. So if you were to take the trading off, I would say there's nothing different about how we feel about it today from what we shared at the Analyst and Investor Day. The exact details of the value content does vary by OEM as well. In the case of China and Huawei, it's like, okay, if we can't ship them then -- in those systems, then it's not a matter of the degree. It's just that we're not shipping them. So again, I would just summarize and say that there's really no difference in how we think about broadly the content, including ASIC displacements. We've factored that in.
Operator: Your next question comes from the line of Toshiya Hari with Goldman Sachs.
Toshiya Hari: Victor, I was hoping you could talk a little bit more about the automotive business. You mentioned that there was some weakness in the quarter given some of the unit trends in the market. But how fast does the business grow on a year-over-year basis? What's the outlook into September and beyond? And I think at the Analyst Day, you guys have talked about the design wins and those ramping over the next year or two. Any changes to that outlook again as it relates to automotive? And then separately, you guys gave accretion details for Solarflare. I was hoping you could do the same for NGCodec. Thank you.
Victor Peng: Let me take the auto one and then perhaps, Lorenzo, could speak to the last part. So as Lorenzo said, there is softness in the auto market. And I think broadly, I think people have heard that, and there's correlation to the whole China situation, because a lot of -- there's a lot of businesses that they shipped into China. So the fact that we have some issues there has caused some slowdown in the things that are in production.Now, if you kind of look at a lot of what we talked about at Analyst Day too is how we're being designed into new systems in addition to what's already in production. That continues with full momentum. Very broad in terms of next generation ADAS, in-cabin systems and occupants new systems, as well as fully autonomous driving, so that continues and we feel very good that that's no change, everybody's investing for that future growth in the new trends and softness. Nonetheless, we still do expect to see growth in the segment but obviously, that's moderated.
Lorenzo Flores: I'll take the last two on auto. It was a little bit lower than previous quarter this quarter and we had expected to grow. And what we're seeing is the impact of, what would you characterize our business and customers from outside of China selling autos in China was one of the drivers for the lower than expected performance. I do appreciate the fact that you asked about the longer term growth trend. Year-over-year, we did see greater than 5% growth.And maybe more importantly, if you take the trailing 12 months versus the prior trailing 12 months, we see double-digit percentage growth in our auto business. So, we still see very strong growth trajectory there over the course of time. And then NGCodec is a relatively immaterial transaction. So we're not providing that accretion assessment that you asked for. But we did, in the transaction, get a very, very good highly qualified IP team. And so, we're really pleased with that.
Operator: Your next question comes from the line of Chris Caso from Raymond James.
Chris Caso: I wanted to return to some of your earlier comments about 5G and some of the advanced parts that you're shipping in there. And the question is, what's your customers' alternative to what you in ship in the event that either they can't get components over a long-term, or if because of the trade situation they choose to reduce their reliance on U.S. based suppliers? And I have to imagine with all that's going on that's one of those things in their mind. What long-term risk could that provide for you? And do you think there are reasonable alternatives out there that would be competitive threat to you?
Victor Peng: Well, I guess in the near-term, they -- as Huawei everybody knows, has a subsidiary of high silicon that was their ASICs, and they do use them quite a bit. I don't really have any insight. So I don't want to speculate exactly what they do. But I would imagine that if this situation prolongs, they will lean into what they already use, which is ASICs. That can't happen quickly, because when you're architecting some ways, it's not like you could just change that on the dime.In terms of other our replacement, and if you -- you didn't say this, but if you're referring to, like in China, domestic replacement. Those companies we watch and they're all doing very low end things that certainly could not replace us in anything approaching 5G. So I think that's fairly far out. In terms of other strategies with replacement or whatever, again, I don't want to speculate. But basically as I said, for the near-term, I don't really see how they would do rather than just focusing on ASICs more.
Operator: Your next question comes from the line of Christopher Rolland with SIG.
Christopher Rolland: On 5G, I think you guys covered Korea and a bit of a pickup in China. But have you seen anything yet really, or can you describe what you've seen in North America, Japan and perhaps any other geos popping ahead of?
Victor Peng: Yes, I mean, Japan is going to start. We believe that will happen, but it will be little bit more of a moderate thing than what we've seen -- what we see in the first two geographies going. North America, traditionally, has moved a little slower, we don't see anything different than that, and then probably Europe after that. So we don't see something really imminent. Although, there is certainly a lot of activity, so that's our outlook at the moment.
Operator: You next question comes from the line of David Wong with Instinet.
David Wong: You mentioned that you were applying for licenses to ship the remaining product Huawei wants to them. Are there any guidelines that Commerce Department provides for the types of licenses as to when you might be expect a decision?
Victor Peng: Two clarifications. It wasn't licenses for all the remaining products. Again, what we've just recently begun shipping is things that we feel even with the restrictions that we have, we can legally ship. What we've applied the licenses to some additional products, but certainly not all of them, because again, there's been no change to the overall restriction with respect to security, national security. So that's what Lorenzo was trying to express, is that the midpoint of our guidance for Q2 is just assuming that we can continue to ship the things that we just started shipping, and it's our estimate for what we'll ship.The upper end of the range certainly would require us getting some approval for some additional product, but it is not all the products. And of course, we have to get that approval soon enough, so that was shipped, though, there's still uncertainty and dynamics around that. And then in terms of when these things typically get responded to by the government, in usual circumstances, what we have heard is 69 days. But as you may have read there has been some recent meetings with the administration in various departments and saying that there are going to be expediting those companies that have put in licenses. And that might happen much sooner than in a matter of weeks. But nothing specific has been given and of course we have no idea we were on the queue.
Operator: And our next question comes from the line of Chris Danely with Citi.
Chris Danely: Just two quick clarifications. So Victor, you said you're trying to restore some of the lost Huawei business. How much of that business do you think is just gone forever, like you can't you can't ship? And then how big was the one memory customer that's having the products transition in the data center group?
Victor Peng: So let me talk to the first one. So, I don't think that we've lost anything that we just will completely lose. Because again that would just one or two things that they've got complete replacement on a dime, or they're just going to give up on that business. And they're certainly not going to give up on 5G. And again as we've said, they've architected in a certain way that that's not something that anybody could just change on a dime. If this starts prolonged for a very long period of time, which I certainly hope isn't going to happen, which I expressed in my comments as well. We really certainly hope we could resolve these important issues as quickly as possible. In which case then, we will have some results.But I think, again, if you think about the guide if you if you look at it, even if we got meaningful, the vast majority of everything we applied for in the license and we continue to ship what we have, that's still less than half of the revenue we would have expected for Huawei if nothing have had occurred. That's what Lorenzo had guided to help you understand what we're doing. So that tells you that, of course, that 5G and the other things that Huawei doing were very meaningful for us.
Lorenzo Flores: The last part of your question, Chris, on the memory related customer. Clearly, we won't just give you a very specific number for them, because they're less than 10%. I will say that in relation to the overall data center business, which is relatively small as we've disclosed, is a significant customer.
Operator: Your next question comes from the line of Vijay Rakesh with Mizuho.
Vijay Rakesh: Just on the wireless growth, good to see you're going, growing from Q1 to Q2 despite Huawei. Is it fair to say that you're growing that wireless business, not just despite Huawei, but also your ASICs nor your base band exposure is coming down? And also, if you could give us some color on how your 7-nanometer Versal is ramping? Thanks.
Victor Peng: So on the base band, again, I would -- I know there's a lot of questions around that. And what I would say is we always contemplated whatever replacement that we would see there, nothing has really changed. Again Huawei is -- the way to think of it is that even in the licensing, it's really not 5G designed in business kind of thing. So there is -- it's not just the base band question it's just Huawei in wireless 5G.With respect to Versal, actually that's going really well. As we said, we already sampled to the very leading customers. We have literally hundreds of people in the early access program where they're already using the software and getting ready for designs. Obviously, we just initially ship throughout this whole quarter will be expanding sampling and so forth. As I said, silicon testing is really rock solid. So we're very excited, feedback has been good.I will say that, of course -- so this is still sampling period. So revenue will be very modest. Until we go in production in FY21, you're not going to see meaningful revenue. But in terms of momentum and taking our platform to the next level, we're in really good shape, very excited about that.
Operator: Your next question comes from the line of Quinn Bolton with Needham.
Quinn Bolton: Just wanted to clarify, I think coming out of the Analyst Day, you had talked about WWG being flattish to down on a quarterly basis into the second half of the fiscal year to incorporate that ASIC replacement. But on the call, I think this evening you said you think now WWG would be up in the second half despite the Huawei shipment ban. So just trying to reconcile those comments. Is the base business in 5G or wire just now better than 90 days ago, or did I miss something?
Lorenzo Flores: Quinn, there may have been some form of miscommunication. We didn't say anything specifically on this call about second half wireless trajectory. We are reserving the next few months to get much more clarity on the Huawei situation and the larger trade situation. So sorry, if there was a miscommunication there…
Victor Peng: What we did say is we expect our second half overall could be. The whole business and I hope the deal -- our business in the second half, which we said it honestly, albeit it's moderated now, because unless we get full resolution of Huawei and resume all shipping to Huawei then obviously it's not going to be as strong as what we said. But we're still seeing qualitatively we believe the second half of this fiscal year will be stronger. And again, we will give you all that information after the close of this, which by the way we -- part of that which is we'll get clarity on these licenses we have put in that we discussed. And we just think we'll be in better place to give you something without speculating.
Quinn Bolton: Okay, thank you.
Matt Poirier: And operator, we're going to do one more question please.
Operator: And so your last question comes from the Matt Ramsay with Cowen.
Matt Ramsay: Thank you very much for squeezing me in. Victor, I wanted to ask a bigger picture question on ACAP Versal as you're starting to sample and potentially ramp the product here in the coming quarters. If you might give us a little bit of context around the software ecosystem and the software environment that you guys have built behind the scenes for the product, maybe the level of first customer engagement? Do you have any NRE funding on software that you are engaged in? Just I think the depth and breadth of the software engagement around the new platform? Any context will be really helpful. Thank you.
Victor Peng: Yes, that's a very good question. Obviously, it's a very disruptive product and it's very powerful. So we do need to bring along the software the tools along with. As I said in my comments and as you're going to hear we're going to do, so I don't want to previous details. But we are, at XDF, in October going to announce new software development environment. That isn't just for Versal but it will of course go forward with Versal.And we are going to -- we've invested a lot in it, and we are going to significantly improve the user experience and make it more accessible to more developers. So we are investing a lot. We are also doing other things beyond just our internal in terms of driving ecosystem in IP and libraries, optimized libraries and other things around run time. So, it's a good play. We are investing a lot. It is important you hear more details about that at XDF. So hopefully, you can make that or stay tuned.
Matt Poirier: Well, thank you for joining us today. We'll have a playback of this call beginning at 5:00 p.m. Pacific, 8:00 p.m. Eastern Time today. And for a copy of our earnings release, please visit our Investor Relations Web site. Our next earnings release date for the second quarter of fiscal year 2020 will be on Wednesday, October 23rd after the market close.Please note that during the quarter, Xilinx will be attending the KeyBanc Investor Conference on August 15th. And also we are very excited to be hosting our Xilinx Developer's Forum on October 1st to 2nd in San Jose, and we look forward to seeing many of you there. This completes our call and thank you very much for your participation.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference call. You may now disconnect.